Operator: Good day, everyone. Thank you for standing by. Welcome to Xperi First Quarter 2022 Earnings Conference Call. [Operator Instructions]. I would now like to turn the call over to Jill Koval from Xperi. Jill, please go ahead.
Jill Koval: Good afternoon, everyone, and thank you for joining us as we report our first quarter 2022 financial results. With me on the call today are Jon Kirchner, Chief Executive Officer; and Robert Andersen, Chief Financial Officer. In addition to today's earnings, there is also an earnings presentation, which you can access along with the webcast on our IR website. Before we begin, I would like to provide 2 reminders. First, today's discussion contains forward-looking statements that are predictions, projections or other statements about future events, which are based on management's current expectations and beliefs and therefore, subject to risks, uncertainties and changes in circumstances. For more information on the risks and uncertainties that could cause our actual results to differ materially from what we discuss today, please refer to the Risk Factors section in our SEC filings, including our Annual Report on Form 10-K. Please note that the company does not intend to update or alter these forward-looking statements to reflect events or circumstances arising after this call. Second, we refer to certain non-GAAP financial measures, which exclude one-time or ongoing non-cash acquired intangibles amortization charges, costs related to actual or planned business combinations, including transaction fees, integration costs, severance, facility closures and retention bonuses, separation costs, stock-based compensation, loss on debt extinguishment, expense debt refinancing costs and related tax effects. We have provided reconciliations of these non-GAAP measures to the most directly comparable GAAP measures in the earnings release and on the Investor Relations section of our website. The recording of this conference call will be available on our Investor Relations website at www.xperi.com. I'll now turn the call over to Xperi's CEO, Jon Kirchner.
Jon Kirchner: Thank you, Jill, and thank you, everyone for joining us. While we continue to operate in a volatile macro environment, the financial results of the first quarter demonstrate the continued progress that we're making against our strategic priorities and increases our confidence in our full year trajectory. On a combined basis, our total revenue for the first quarter was $257 million, representing 16% growth from the first quarter of 2021, primarily due to the previously announced Micron license. GAAP earnings per share was $0.24 compared to $0.05 in Q1 of 2021, while our non-GAAP earnings per share was $0.92 compared to $0.59 in Q1 of 2021. Let me provide a quick update on our previously announced business separation. We remain on track to separate later this fall into 2 stand-alone publicly traded companies, Adeia, our IP Licensing business and our Xperi Product business. The strategy behind Adeia is to continue to extend the adoption of our innovations and licensing of its intellectual property across the broader media, entertainment and semiconductor industries. Adeia will continue to grow its patent portfolios in size and relevance through ongoing investments that are principally focused on internal innovations, as well as through targeted acquisitions and strategic management of its patent portfolios. At the same time, Xperi will become more nimble and important focused Product business. With a unique set of leading products and capabilities, Xperi will be well positioned to execute on its strategy for creating extraordinary experiences at home and on the go for millions of consumers around the world, elevating content and how audiences connect with it in a way that is more intelligent, immersive and personal. We are excited by the growth potential of this business, which we intend to accomplish in 3 primary ways: by meeting the demand for advanced infotainment and in-cabin safety in cars by enabling faster IPTV growth in the United States and abroad, and by establishing our TVOS as a leading platform for the discovery, management and monetization of TV-based entertainment for Tier 2 TV makers. We continue to believe separation of these businesses will reduce business complexity and enable these 2 pure-play platforms to be better positioned to grow and compete over the long term, thereby unlocking meaningful value for shareholders. Focusing on Adeia, we're very excited about the positioning of our IP business. We've built a sophisticated and diverse IP platform that is planned to separate with nearly 10,000 patent assets, almost 85% of which are homegrown. In preparation for our separation, we've built a media-focused R&D function within Adeia that in addition to our long-standing semi R&D team will continue to innovate and support the long-term needs of the business. The quality and breadth of our portfolio in addition to our continuous innovation funnel has been a key contributor in our ability to renew and complete new license agreements with world-leading media, entertainment, consumer electronics, social media and semiconductor companies. We have worked diligently to enhance the visibility and sustainability around Adeia's future revenue streams and to strengthen its foundation and preparation for its journey as a successful stand-alone company. During the quarter, we renewed or entered into new license agreements with over 10 customers, including a long-term renewal with a top 10 virtual multichannel video programming distributor, which emphasizes the longevity of Adeia's intellectual property portfolios and Adeia's continued importance to Pay TV as it further expands into OTT streaming services. Additionally, we continue to progress other significant licensing discussions that we expect to close in the second quarter. In our Canadian litigation, on Friday, the court indicated that it intends to issue its judgment in our initial case against Videotron on June 3, 2022, and that it will advise the parties of the anticipated date of the judgment in our initial cases against Bell and Telus promptly after it issues the Videotron judgment. We remain very confident in the relevance of our IP portfolio and our ability to ultimately achieve a market-based resolution in Canada, although predicting timing is always difficult. As a reminder, we also filed second rounds of litigation against Videotron and Bell Canada last year. Moving to our Product business. Over the past 2 years, we've worked to transform and strategically position the business for profitable growth as it emerges as an independent company. We continue to advance strategic initiatives in our 4 product categories: Pay TV, Consumer Electronics, Connected Car and the Media Platform space. Our Pay TV product category includes classic guides, IPTV solutions, content discovery, TiVo Linux platforms, consumer TV subscribers and hardware. Our long-term focus in this market is driving adoption of our higher-value IPTV solutions, which are positioned to offset subscriber declines in our traditional guides business. We're pleased with the progress we've made around IPTV as we continue to add new operators with our expanded product offerings, including a new win with NfinityLink Communications. Total IPTV subscribers continued to grow at a double-digit rate quarter-over-quarter. Notably, our Pay TV product category grew slightly on a year-over-year basis as growth from IPTV through our expanded offerings more than offset the decline from our traditional guides business. Our second product category is Consumer Electronics, which includes DTS audio and imaging solutions in home and mobile, IMAX Enhanced licensing and our Perceive business. During the quarter, we signed key renewals with Skyworth and Best Buy for their soundbar and TV products. And we expanded our licensing relationship with TCL to include decoder post-processing and Play-Fi support in soundbar and TV products. Looking forward, we expect the Consumer Electronics product category to grow this year as the supply chain for game consoles begins to normalize and for growth in our Play-Fi wireless and mobile business. We expect additional growth to come from expansion of our IMAX Enhanced ecosystem and from Perceive as we expect to see the first products utilizing our technology come to market in late 2022 or the first part of 2023. Our third product category is Connected Car, which includes HD Radio, Music Metadata, DTS AutoStage and DTS AutoSense. Connected Car continues to be impacted by supply chain constraints, which we are closely monitoring. We are working with our partners to try to mitigate shortages that could impact key components that deliver with our technology and anticipate an improving situation in the back half of 2022 as the supply chain stabilizes. A few important highlights from the first quarter include BMW's expanded shipments of the DTS AutoSense-enabled iX model into more countries. We also advanced engagement for Occupancy Monitoring Solutions with numerous European and Asian car companies. Likewise, Mercedes-Benz expanded shipments of DTS AutoStage-enabled models to more than 40 countries. And over the quarter, we further advanced pipeline development with OEM customers in the U.S., Europe and Asia. And finally, our DTS AutoSense Neuromorphic Driver Monitoring Solution was chosen as a 2022 Winner for the Artificial Intelligence Excellence Award presented by the Business Intelligence Group. Our fourth and final product category is Media Platform, which captures the TiVo Stream OS, the TiVo Stream 4K, monetization and TV viewership data. This is our fastest-growing category, and we expect double-digit growth in this category in 2022, mostly driven by expansion in our advertising-based monetization revenue. At the same time, we're focused on partnerships with TV OEMs, chipset partners and content providers to bring the first TVs powered by TiVo Stream OS in late 2023 or early 2024. During the quarter, we announced the integration of YouTube TV into TiVo Stream 4K and TiVo Stream OS, strengthening the premium live TV viewing experience. Additionally, we launched TiVo Xtend, an end-to-end advertising solution that enables incremental reach and frequency opportunities for Connected TV advertisers. We also advanced the TiVo Stream ecosystem development across content partners, OEMs and chipset providers. With that, I'll turn the call over to Robert to discuss our financials. Robert?
Robert Andersen: Thanks, Jon. As we have noted, the fiscal year has gotten off to a good start. Total revenue for the first quarter was $257 million, an increase of 16% from $222 million in the first quarter of last year, primarily due to higher revenue from our IP Licensing business. IP revenue in Q1 was $139 million, up 41% from the first quarter of 2021, principally due to our previously announced deal with Micron. Revenue in our Product business was $119 million, down 4% from $124 million a year ago due principally to a customer settlement for past unit shipments of approximately $5 million that occurred in the first quarter of 2021. The Pay TV product category, which represented 54% of total product revenue in the quarter, generated $64 million of revenue, up slightly compared to the first quarter of 2021 due to IPTV growth from both MobiTV and new customer deployments, offset by continued churn in the legacy Pay TV subscribers. Moving to Consumer Electronics category, revenue of $28 million in the quarter accounted for 24% of total product revenue. While revenue in the category was down $3 million year-over-year due to the previously mentioned customer settlement of $5 million in the first quarter of last year, the category would otherwise have exhibited growth, which is something we expect to occur in the category for 2022. Our Connected Car category realized quarterly revenue of $20 million versus $23 million in the first quarter of 2021 due to continued supply chain constraints. Because of the current macro environment, we expect this category to be flat year-over-year with supply chain constraints improving in the second half of the year as Jon noted earlier. In our final product category, Media Platform, revenue for the first quarter was $7 million, up 19% year-over-year. While Media Platform currently accounts for only 6% of our total product revenue, we expect this category to grow double digits in 2022, primarily driven by Connected TV advertising. On a non-GAAP basis, cost of goods sold was $27 million in the quarter, down just slightly from last year. Non-GAAP operating expense was $118 million, up 4% from Q1 2021 due primarily to higher personnel costs and the inclusion of expenses from MobiTV, which we acquired in mid-2021. Q1 interest expense was $8 million and other income was $1 million. Cash taxes paid in the quarter were $3 million. Using cash tax and non-GAAP fully diluted shares of 112 million, non-GAAP earnings per share for Q1 was $0.92. Moving to the balance sheet. We finished the quarter with $267 million of cash and investments. We paid down another $10 million of debt during the quarter to bring our debt balance to $780 million. Net debt at quarter end was $513 million, down 18% from $624 million a year ago. Operating cash flow for the quarter was $46 million, up from $27 million in Q1 2021 due primarily to lower payments for accrued compensation this past quarter, reduced interest expense and lower cash taxes. During the quarter, we paid a cash dividend of $0.05 per share of common stock and repurchased $17 million of stock, leaving $78 million remaining on our existing share repurchase authorization. Given the good start this past quarter and progress we have made to-date, we are reiterating our previously announced guidance for the full year 2022. As noted last quarter, our full year revenue guidance includes the Micron license and allows for a range of risk around supply chain challenges. Revenue growth expectations for the year are attributable to factors in both Adeia and the Product business. Also, revenue guidance does not include benefit from the settlement of significant outstanding disputes. As noted last quarter, we expect spending to increase sequentially each quarter of the year. With respect to capital allocation, we plan to continue paying our quarterly dividend and making scheduled debt amortization payments. We also plan to buy back shares on an opportunistic basis, while maintaining flexibility to address the capitalization needs of each business as we plan for separation. That concludes our prepared remarks. Let's now open the call to your questions. Operator?
Operator: [Operator Instructions]. We'll take our first question from Matthew Galinko with Maxim Group.
Matthew Galinko: Maybe if we could start with Connected Car expectations for the year. I'm just curious how we should think about linearity? Is that kind of strengthening in the back half of the year? Do you sort of expect supply chain constraints to start to wane in the back half of the year? I guess help us understand some of the assumptions there?
Robert Andersen: Matt, this is Robert. Sure thing. So we expect as much as we can tell at the moment that supply chain constraints for automotive would ease up in the second half of the year. And so that's within our projections for our annual outlook.
Matthew Galinko: Okay. And then on the Media Platform business, I think it was nice growth annually, but sequentially, it was a decline. Can you help us understand maybe the -- again, the linearity of that business? What are the kind of puts and takes quarter-to-quarter? And that's the seasonality we might expect in this business or I guess help us gauge what that should look like through the year?
Robert Andersen: I'm just taking a look at Q4. Yes, I think we'll see some puts and takes in any given quarter, Matt. So I wouldn't overread any particular linear quarter representation, you still tend to look at our numbers on an annual basis. So I think we do expect that to be a very high grower. But I don't think there's anything that's particularly directional or it's important in taking a look at year-over-year in term -- excuse me, on a sequential quarters.
Jon Kirchner: Yes. Matt, I would just also add that I think we're still early in the process of building out scale with respect to this business. And as a result, depending on what's in the pipeline and how various components of that scale are coming online, you may see it move around quarter-to-quarter. But the long-term prognosis is we expect very meaningful growth as our platform continues to grow and as the number of devices ultimately capable of being monetized driving user engagement continues to increase.
Matthew Galinko: Got it. That's helpful. And just last one for me, I guess also in that business in terms of getting the OS product out the door and on to products. I think you said late 2023, early 2024 to be selling on products? Is that -- are there any -- I mean, I guess there's plenty of work to be done, but what are the major hurdles between now and then? And can you -- based on your engagements today, can you give us a sense of whether you expect that to be a relatively rapid uptake or do you think it's going to be a pretty small ramp initially in the first year or 2 and then accelerating as you get more momentum there?
Jon Kirchner: We have a number of discussions going on in the pipeline that I think could lead to a range of outcomes, none of which, I think will be, let's call it, very small. But I think the RAM rates differ depending on how the pipeline evolves. I think we're very pleased with how discussions are going more broadly within the ecosystem and very much focused on this not being, if you will, a slow dribble of a ramp over a multiyear period, but rather, I think the nature of our platform and some of the feedback we're getting based on the quality of our user experience and our approach is good. So I think we'll have more to say on this as we get a little bit further along. But suffice it to say, we're very pleased with more broadly now how the ecosystem discussions and the discussions with specific partners in the TV space are going.
Operator: We'll take our next question from Hamed Khorsand with BWS Financial.
Hamed Khorsand: So first question with this virtual MVPD renewal, how many more of these renewals are you expecting this year? And are the conversations constructive as far as the rates now versus when they were first signed?
Jon Kirchner: I think we do an incredibly good job of being consistent about how we approach rates across the various business lines. I think that discipline is one of the things that sets us apart, as well as the quality and size of the patent portfolio, which as we've said, over time, continues to be very relevant to operators in that space. So in short, I think we continue to more broadly to hold the line and continue to be consistent in our approach. There are always a number of renewals going on in any given year. We typically don't talk to the exact number because at times, it can be misleading as to the aggregate pipeline of renewals where you've got significant differences maybe in terms of size and relevance. So I think what's important is people are renewing at very high rate. I think it speaks to the relevance and again, the quality of what we're doing and the portfolio we've built and continue to look to innovate and expand. And I think as we look ahead over the next few years, we have a high degree of confidence with respect to our ability to continue to move this business forward.
Hamed Khorsand: Okay. And then Robert, just given the performance here in Q1, one has to assume that much of it has to do with Micron. So what would happen -- need to happen for Xperi to exceed or reach the top end of the range? And what could happen that you underperform or go below the bottom end of the range?
Robert Andersen: Well, I think it's important to point out that we're very comfortable with the range we provided. And that range takes into consideration various risks and opportunities that we still see in the business for the remainder of the year. We knew that Q1 would be a high quarter because we had the Micron deal set when we gave guidance itself for the year. As to your question, I think it depends on how things go from a supply chain perspective. On the higher end, we would expect improved per unit reports in Consumer Electronics and growth in IPTV services and then also higher ad monetization within the Media Platform business, right? You could also say favorable outcomes for IP Licensing within OTT. I think on the lower end of the range, there we would expect supply chain issues to persist and then which results really in lower per unit reports in Consumer Electronics. And to some extent, the converse of what I just described, and the delayed roll-out of IPTV services, lower ad monetization and delayed outcomes of IP Licensing. But again, I think we're quite comfortable with the range that we've laid out for the year.
Hamed Khorsand: Okay. And then just given the conversations that you're having now, has the tone changed given the macro environment since the last time you reported?
Robert Andersen: I mean, we certainly are seeing kind of broader macroeconomic challenges. But in reality, we saw those a couple of months ago when we gave guidance and took that into consideration as we laid out the year. So I think we -- while I think the environment is certainly challenging, that's something we've taken into consideration.
Operator: We'll take our final question from Richard Shannon with Craig-Hallum.
Richard Shannon: Well, great. Thanks, Jon and Robert, for taking my questions. I guess, Robert, just a quick one. I just want to make sure that I heard the kind of confirmation on all the moving parts within the Products business has to grow through the year, but that was the same as you said last quarter, I got 3 out of the 4. I just want to make sure all 4 of them were unchanged. Is that correct?
Robert Andersen: Yes. There's no change in our views. In fact, I'm looking at what I wrote for last quarter because they really haven't substantially -- well, they just haven't changed. So I can cover them again if it would be helpful.
Richard Shannon: No, I got 3 of the 4, so I just want to make sure the fourth one is fine. If it is, then no problem. You don't need to touch on that one again. Second question probably for Jon. If I collect your prepared remarks on the topic of Pay TV, I think you said IPTV growth over offset declines in the guide business. And you've talked about declines because the guys are overcoming the IPT growth -- IPTV growth. Does this comment for the first quarter suggests that could see some upside there? Can you kind of talk about what you're seeing there in trends that will help us think about the rest of the year?
Jon Kirchner: Sure. I think it's hard to exactly call what the net difference is going to be. We've got a substantial pipeline of IPTV business coming and depending on the rate of deployments, which we're working very hard for partners to support. Depending on what that rate is relative to, of course, the decline will determine whether it fully offsets and maybe even slightly grows or it nearly offsets. So I think our expectation currently is you'll see Pay TV flat to slightly down on the year, and -- but that's not -- that's masking, of course, a meaningful continued sub decline, which everyone expects consistent with industry trends with a fair amount of IPTV growth for us. And I think it's that relative comparison rate of decline versus rate of growth that will determine the final analysis. I think we'll have more to say as we maybe get in to late summer with a better view of what the back half deployments are going to look like. But I think we have done an outstanding job of normalizing and working to transform the Pay TV business in a way where it is not a large drag on the overall business, but rather is beginning to move ever more towards where we think the future of that business lies, and we're working to build scale, economy and ultimate profitability around that shift as we continue to work through the next year or two.
Richard Shannon: Okay. And to follow up on the topic of Pay TV, I think your remarks or maybe it was even in the presentation I had in front of me here, you talked about total IPTV subs continue to grow at a double-digit rate quarter-on-quarter. Is that kind of the expectation that you have for the rest of the year on average or is it -- or if you could kind of suggest how the first quarter relate to the rest of the year?
Jon Kirchner: Simply put, yes, it will continue to grow at a attractive rate quarter-on-quarter.
Richard Shannon: Okay. Okay. Perfect. Maybe 1 or 2 other questions for me, and I'll jump on the line. I think I got the sense after last quarter's call that you expected the second quarter to be the bottom in revenues for the year, obviously, after a really strong first quarter with Micron. Is that still the expectation?
Robert Andersen: Well, as we look at the year now, I would say that we expect the remaining quarters of the year to be roughly equivalent. So this just depends on how the deals that we forecast for the full year line up for the year. So I'd say, fairly equivalent for the remainder of the year.
Richard Shannon: Okay. Okay. That is helpful. Let's see here just scanning my list here. Maybe one last one for Jon on the topic of hybrid bonding. I think last quarter, you mentioned that after signing Micron, you would license, I think 90% of DRAM and 50% of the NAND suppliers so far. And I guess my question is, is there any visibility or expectation of licensing seeing more -- a higher portion of the NAND part of the market?
Jon Kirchner: I would think it's fair to say that we have a very active pipeline across the rest of the memory space as well as in logic and in some other places. I think this is a trend that is going to continue for the next decade. It's important to, I think the long-term value proposition of ever more powerful chips. And we think we continue to have not only some foundational IP, but some of the industry's deepest knowledge about how to deploy the use of hybrid bonding in a broader successful manufacturing environment. So overall, I would say we're making good progress, and we believe that over time, those percentages will continue to increase within the broader memory space.
Richard Shannon: Okay. Fair enough. I think that's all for me guys.
Robert Andersen: Thanks, Richard.
Operator: Ladies and gentlemen, this concludes today's question-and-answer session. At this time, I'd like to turn the conference back to your presenters for any additional or closing remarks.
Jon Kirchner: Thanks, operator, and thanks, everyone for joining today's call. Both businesses have had a good start to 2022, and we look forward to keeping you updated on our progress in the coming months. This concludes today's call. Thank you, operator.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. We appreciate your participation. You may now disconnect.